Operator: [Operator Instructions] I will now turn the call over to Mr. Joao Bento, CEO.
Joao Bento: Good morning, everyone. Welcome to our 2024 results conference call. It's been a great year that we chose to qualify from transformation to growth. So starting with Slide #4. Guidance was accomplished with EUR85 million recurring EBIT, but most important than that, with EUR71 million or 38% growth year-on-year for the PAC Logistics and Bank. Logistics, we refer to logistics to the combination of Mail and Express. It was also a year of very strong cash flow, with operating cash flow growing 6.7% to EUR70 million and a year that enables us to keep a very balance sheet flexibility, a very flexible balance sheet with a 1.6% net debt-to-EBITDA ratio, which is well below our own financial policy, which is in itself already conservative. So very good news in that sense, too. It was a special year, given the M&A transactions that we have disclosed at year-end on the 18th and 19th of December, I'm referring to the acquisition of Cacesa and the joint venture with DHL, which enable further diversification and will fuel further growth in Iberia towards we want and we expect Iberian leadership. And the final initial comments to shareholder remuneration, given that we decided to remain within our stated policy. So with a predictable dividend policy, which accounts for EUR0.70 to be paid, and we remain with the ongoing EUR25 million share buyback. Moving to Slide #5. A more detailed discretion of this results while I would highlight 38% growth on recurring EBIT for logistics and bank, the business areas that we fully control, which beats our own guidance. Given a very strong performance on parcels and the bank and where we've seen a 17% growth on this logistics bank package that converts to a growth on EBIT on the backdrop of a strong fourth quarter. We have also observed in this last quarter, for the first -- for a long time, we didn't see this a public debt placement normalizing to levels that we were -- we have seen before. Moving to Slide #6. And starting with a bit more detail on the Express & Parcels business area. We've seen record volumes in peak season, again sustaining revenue growth throughout the year. And with the 30.9% quarter-on-quarter, that converted to a 33.7% growth on EBIT which suggests, of course, that we can grow and having the margin also growing. We expect that 2025 will be another record year in-line with what we have been achieving. Moving to Slide #7 and going into further detail regarding the margin, we've observed significant margin expansion due to operational leverage, a statement that that we are confirming consistently. You might observe that looking at the chart on the left, the line on -- with the quarterly growth, you might observe a slight decline in the fourth quarter from 8.7% to 8.1% of percentage EBIT, which is a common trend for the fourth quarter, given the intensity of activities and operations, there are always [purchase] (ph) of inefficiency in the peak season quarter. But here, the decline is clearly better than the one observed between the fourth quarter -- in the fourth quarter of last year. Having said so, the huge improvement in EBIT generated in the quarter. So quarter-on-quarter, fourth quarter and fourth quarter with a 57% growth. And if we move to the right-hand side, the chart on the right, and looking at the yearly improvement. We came from EUR20 million of EBIT in this business to EUR36 million, an 83% improvement. But interestingly enough, the EUR16 additional million of revenue are -- might be seen as a combination of the additional revenues and the additional costs. So the detailed chart we have on the top right part of the slide, illustrates that the EUR138 million additional revenues, combined with the additional EUR88.2 million of costs, computed the EUR16 million of new EBIT generated or an 11.9% margin. So this drove a yearly overall margin of 5.8% in 2023 to [5.5%] (ph) in this year. But more importantly is that it somehow demonstrates that we can keep growing while expanding operating margin. So very good news for -- in our view, for the Parcels business. It was also a year moving to Slide #8, as I said, with these important steps regarding Cacesa and DHL and the slide basically attempts to illustrate several of the advantages that we have. So it accelerates our leadership -- Iberian leadership ambition because it expands our offer and strengthens our customer relationships. It diversifies risk, particularly in what regards much higher exposure to B2B, given the contributions of DHL and the wider price in the value chain because it expands, I would say, hugely expands our presence in the customs clearance part of the value chain, which is very important, especially for out of Europe e-commerce, which is, as we go to see in the next slide, a very important part of e-commerce expansion. It also effectively attacks our -- allow us to attack international segment given that we have not only an international presence with Cacesa, but also the contribution of the DHL network for both inbound to Iberia and outbound from Iberian and finally, enhances future opportunities given the incorporation of these new skills. Slide #9. It is a very interesting slide. Given that it illustrates the relevance of e-commerce, cross-border e-commerce coming to Europe from Asia, 19% of the global e-commerce is cross-border from Asia to Europe. But more interesting than that is that it also illustrates that the European cross-border e-commerce is of the same dimension. 17% according to the most recent data. And this is very interesting in the sense that it shows the complementarity of the deals that we have announced at year-end. On the one hand, given the Asia to Europe our strong foothold on cross-border becomes reinforced by the acquisition of Cacesa. And of course, given the European cross-border e-commerce, DHL which is simply the largest operator in Europe, also differentiates our presence given their ability to bring new flows to Iberia, given the policy and price that we allow them to have and also it enables and promotes outbound exports of e-commerce from Iberian to Europe, given their ability to place them at a very high efficiency rate. Moving to Slide #10, a quick word on our activities regarding strengthening our portfolio in e-commerce logistics. It was a very important year in terms of standardizing our Iberian offer in all sorts of aspects operationally, commercially pricing user experience and so on. It was also an year important for out-of-home delivery since that we started deploying more -- higher than 20,000 PUDOs for our clients in Iberia, of which in Portugal already includes more than 1,000 lockers and we are now expanding and started last year in 2024 to expand sorry, to Spain, also the deployment of lockers; and of course, because of the organic growth that I referred multiple times. For Page 25, the priorities remain somehow the same or associated with this, given that we will keep extending the PUDOs and especially the lockers network in Spain. We of course, have a huge commitment to execute synergies that these operations M&A acquisitions have -- allow us to grab. It will be a very important year to keep growing organically as we've done so significantly in recent years and also a year where we are aiming at improving profitability in Parcels, as we have been doing in a consistent way in the last years. And with this, we would move to Mail business areas, and I will ask Joao Sousa to join us guide us through the Mail and retail.
Joao Sousa: Thank you, Joao. Good morning, everyone. As you can see in Slide 11, we saw good news after third quarter where we felt the impact of some clients backlog, mainly in the government. We saw a recovery in the fourth quarter, and this combined with more business days had a positive impact on the volumes of Q4. We also saw an increase in the average value all the year in '24, considering the price increase we have done and also the product mix during this year. And as you already know, this year, we already implemented in February, the price increase of 6.9% in Mail. On Slide 12, you saw the results of this. So we had a solid revenue performance in address mail in the fourth quarter. When you saw the fourth quarter comparing with last year, we see an increase of 4.1%, achieving EUR92.8 million. And we can say that was the second best quarter in '24. And if you take the elections of the first quarter, we even can say that the fourth quarter was the best quarter of the year. And with this, we see in the last semester of '24 revenue per business day grow during the second half. On Slide 13, we see a strong revenues in Q4 in Mail & Other with a good performance also in Business Solutions and Payments that helps also the performance in Mail. Constantly, we see a high margin of 4.4%. We can say that it was a highest margin with site 2022 through increasing traffic that is concerned the increasing of traffic. We see the better cost cut measures and also like Joao Bento was saying before, an improvement of public debt, we saw in this last quarter of '24. On Slide 14, we maintain our focus on cost-cutting strategic to protect the margin in Mail because as you can see, given the cost reduction we have done in '24 only offset the impact of inflation. So we still maintain this focus on cost-cutting and always maintain the quality Mail, but we are doing a lot of things in operations to have this cost cutting. But saying this, with this impact of the inflection we saw the margin declining 2024 for EUR8.2 million in the year. On Slide 15, we are the path in '24, and also we're going to continue to do it in '25 to significant improvements in quality of servicing, but also new services to our customers. We have, as you know, after a few years of discussion about the quality indicators, we have a change of the quality indicators. And also, we designed new products that we call traceability mail that we have new services that bring the value-added service to our customers in mail. We still maintain a reorganization of the network that improves quality. At the same time, we felt cost-cutting in this area of business. And for '25, we are still promoting digital alternatives because, as you know, the main computer in Mail is digital. And what we have is creating digital offers to our customers. And we're going to continue in '25 to doing additional operational efficiencies like I told you before, for the focus on cost cutting and also relation in our customers. On Slide 16, now coming for financial services and retail. In Q4, we saw a strong recovery in the public placement debt driven by the adjust of the cap. As you remember, during the calls we had in '24, we talk and we say that the cap was a problem to sell more public debt, after the government changed lease in October. We saw a strong recovery. However, with the challenge we had in the three -- first quarters of '24, we have designed a lot of advertising campaigns and also implementing for digital that was bring the subscription of public debt to digital and this allow us to become more strong. And when we saw the change of the cap, we saw a recovery of less public debt placements, but also now be more strong to sell this. Why I say this? We saw a lot of new for instance if I could say, in this way, go for digital. So I think we opened the public debt for new segments and we see a very strong trend -- positive trend for digital. And as you saw also in the numbers of January, we see a positive outlook for 2025 public debt placements. On the Slide 17. As you know, we also are implementing a new strategic for our retail network, launching new services for citizens and also for SMEs that enable us to have different services in our stores, in our retail network. That also brings us towards new revenue streams and predictive revenue streams. We launched insurance that is running pretty well, but also the health care plans, as you can see, with an increasing of [40%] (ph) against 2023. And we have also a very, very positive outlook for 2025 because we see the market like this kind of services, and we are connected what is the retail network of -- for these on 18 on Slide 18, we are taking a lot of actions in our retail network. We are investing and expanding new layout services. We already launched these new stores in Cacesa in [may] (ph) in the last quarter of '24, and we're going to still maintain these in '25. This is a co-investment also with the bank of CDP because this new layout helps to sell more services for CTT, but also in the bank. We are investing in '24 in a new customer data platform. So no better the customers help us to retain and sell better and more in our retail network, and we are training ourselves person in the store to sell these new services to suggest better service to our customers. On this, we are also working on omnichannel. And like I told you before, this for digital was a good example what we have done to have also our physical retail, but also digital working together and continue to expand the services portfolio for this network. Seeing this, now I pass to Guy Pacheco, my colleague, to talk about.
Guy Pacheco: Thank you, Joao, and good morning. On Slide 19, we can see the strong progress the bank made on a number of accounts. We increased 5.3% in the number of account with another year adding clients. The bank continues to be one of the two top preferences to change bank in Portugal, and this shows through the numbers. On the right part of the slide, we can see also a very strong progress on business volumes, growing 20.9% and achieving the target of more than EUR7 billion that we set back in 2022 for the year of 2025. So anticipating one year that number -- the bank continues to focus on increasing the engagement per client. In Slide 20, we can see a strong gain on market share. The bank continues to grow its deposit base very significantly, growing 30.8% vis-a-vis the industry that only grew 7.2%. On loan -- on the credit books, very steady progress in auto loans of 9% and also 10% on mortgages. The bank is on this phase of investment to improve client engagement. We aim to double our client engagement, investing in commercial capabilities, be it digital or physical in order to gain, continue to gain traction in the market. On Slide 21, we see strong progress on revenues also if we exclude the end of the Universo credit card partnership with Sonae, the revenues grew 11.8% despite some margin compression -- net interest margin compression of 2.6% to 2.2%. So that growth coupled with lower cost of risk on the 2024 -- on the year of 2024 led to a strong progress in profit before taxes, but 25.9% in 2024. Our return on tangible equity also progressed well to 13% and entered the interval that we committed also back in 2022. So another target that was anticipated one year. In Slide 22, we can see that the bank will continue to focus its strategy on growing volumes. We have been able to manage well the interest rate cycle and gain significant share. We aim to continue to do so, excelling in savings. It's what our brand get us to and the Generali partnerships as a significant contribution on this strategy with its high wide range of products that will continue to help the bank growing its balance sheet. While we will continue to invest in upgrading our core and the digital channels and these branches facilitization in order to grow the client engagement. Wishes to include a slide to show our progress on the ESG front. With significant progress in alignment and eligibility of revenues and CapEx showing the strategic bet on these kind of products. On the right part of the slide, you can see also strong progress on our green fleet. We are clearly in-line to meet our target of 50% of last mile owned fleet of green vehicles. Last year, we closed the year with 35% of the fleet already green. Our carbon emissions grew this part of all these efforts because of lack of traction on having the same movements on third-party providers. On Slide 25, we see our key financial indicators where we can see a very impressive quarter of very strong growth on the revenue side with 16.8%. Our recurring EBIT also progressed significantly 56.5%, reaching more than EUR30 million in the quarter. And our cash flow grew also 82%, EUR54.3 million in the fourth quarter. In the full year, our revenues exceeded EUR1 billion for the first time, EUR1.1 billion actually, growing 12.4%. Our EBIT declined slightly 2.7% because of these headwinds on the financial services after a record year in 2023. But as we all shared a very strong progress on the normalized EBIT, if you want, with 38% growth in Logistics and Bank and free cash flow sorry, net profit in the year, reaching [EUR45.5] (ph) million with a decline of 24.7%. In Slide 26, we can see our revenue bridge with a strong contribution of Express & Parcels where we continue to see volumes growing more than 30% with market share gains in Iberia. Our unit prices also increased, and we saw more contribution of value-added services that help revenues to grow more than the volumes. In the Mail & Other division, 5.5% increase with the price lever and the mix effect contracting the decline on volumes that declined 4.5% in the quarter. On financial services, we also saw strong progress with 47.5% growth or EUR2.3 million. This quarter, placed more than EUR11 billion in public debt returning to which we think it's a normalized level. Since then, we continue to see strong placements in public debt. So we are fully confident that this division, we will enter on this normalized level, but that we guided the market since the end of last year, bank with a slight decline following the end of Universo partnership that would grow if we exclude that effect. On just to highlight that for the first time, we see Express segment be our business segment with highest contribution in to the overall top-line that we think it marks a strong step on the transformation of the profile of this company, and that is now more skewed to growth than before. On Slide 27, we can see our operating cost that grew 13.7%, mainly driven by Express & Parcels. This is mostly activity, although some increase in unit costs. It's important to highlight that the last quarter of the year is a quarter with very strong growth on volumes. And as such, we need to account for extra capacity, and that comes with a slight increase in prices. But overall, a strong expansion year-on-year on the margin. So nothing to highlight here. Mail, growing 2.9% in terms of basically wage inflation and inflation in the cost base, namely on transports. Financial service is also with some growth of EUR0.8 million in-line, fully in-line with activity. And the bank with a strong decline of 2.6%. This is mainly driven by impairments or our cost of risk declined from 1.5% to 0.5% this quarter. So good news on that front. We can move to Slide 28, where we see a record quarter in terms of EBIT generation with 56.5% growth and 9.7% margin with a strong expansion of margin in Express & Parcels driven by the growth and value-added services. Mail & Other also with a strong recovery in volumes, but we are seeing softer declines in the fourth quarter, as we guided to affect the number of days and recovery of backlogs from government. And the financial service is also contributing EUR1.6 million with the normalization of the placements of the debt. And we think this will be a trend that will stay during 2025 and the bank also with a strong expansion of EUR1.7 million in EBIT, mainly driven by the lower cost of risk that I already commented. In the year, the Financial Services division with a strong negative comparison effect, but we always highlighted that 2023 was an abnormally high year. So we now see this division stabilizing and improving EBIT going forward. On the Slide 29, we can see our consolidated cash flow that reached EUR93.9 million. Our CapEx picked up to EUR46.4 million. This is mainly driven by investments in capacity. We always said that we should be on the highest part of the guidance range in terms of CapEx to sustain capacity or to expand capacity and that's what happened. Free cash flow stood at EUR62.8 million. Our net cash position is now of EUR68.1 million. On Slide 30, we can see mostly the same vision, but having the bank accounted in the equity method. So operational cash flow growing 6.7%. The free cash flow stood at EUR39 million in 2024. And on the right part of the slide, you can see our leverage that is still very low and steady between we evolved from 1.4 times to 1.6 times EBITDA with a net debt of EUR206 million in the end of 2024. And with that, I will pass to Joao for his final remarks.
Joao Bento: Thank you, Guy. So on Slide #32, the gears, we’re aim at signifying that we are actually with every single line for another growth year. And if you follow me from the left to right, we are, we believe, very well positioned to be the most relevant comes logistics play in Iberia, not only because we kept and will keep expanding our market share based on not only commercial productivity, but mostly quality and also service differentiation in the sense that we are providing more and more services along the value chain. And in that respect, the acquisitions of Cacesa and DHL and the DHL will fuel this further growth on Express & Parcels. Moving to the lower gear. We do keep leveraging on a synergic mail operation, especially so on the retail network because it is shared and rightly served with the bank, financial services, mail, parcel, insurance, and that is in a way, also a winning move. We then have seen and we'll see the bank affirming itself as the fastest-growing retail bank in Portugal with growing business volumes with an expanding client base and now with the significant steps to increase engagement with clients. And with this, we see the bank growing very healthy. And as was already stressed by Guy, we are now within normalized financial services replacement period and therefore financial services and retail, in general, will remain as a significant profitability and answer, with this normalized debt placement, but also the new services that we are deploying. All in all, this allowed us during 2024 to achieve the guidance that was given to the market. And indeed, in terms of revenues, we have already exceeded the -- I'm sorry, we have already reached the guidance for 2025 that was provided in the Capital Markets Day back in 2022, and we are guiding 2025 as a recurring EBIT from organic growth. So without the contribution yet of Cacesa and DHL of over more than EUR100 million, which again is very much in-line with what was the ambition set in our Capital Markets Day in 2022 and a final word to the dividend per share of EUR0.17. We decided to remain consistent with our dividend policy. And this corresponds to a 50% payout and 3.1% yield. And with this, we believe it was a great year that positions CTT very well to continuing growing story, and we remain available for your questions.
Operator: [Operator Instructions] We will take our first question from Joao Safara from Santander. Please go ahead, your microphone is enabled.
Joao Safara : Good morning. I have three questions. The first on the on Cacesa and DHL, just a reminder of the timings here. And if anything changed versus what or the timing that you mentioned back in when you announced these two transactions and particularly the fact that the DHL transaction didn't include the Cacesa deal. So what would be the timing for that to have to be sorted out? So that would be my first question. The second question is on the working capital. So this year, we've seen quite a volatile working capital in terms of -- by quarters. And obviously, you've recovered that in the fourth quarter of the year. My question is mainly this is something that we should see also in 2025 or it was mainly just one thing that happened in 2024. And so you don't see that happening again in the next couple of years. If you could give us a bit of some color there? And then the last question on the digital -- sorry, on financial services, on your digital offer of -- well, now that you have the subscription in your platform, if you can give us the percentage of placements that are being done online through CTT? Thank you.
Joao Bento : Thank you, Joao. Questions for the three of us. So I'll start with the first one. There are indeed no differences regarding our expectation on the Cacesa and DHL. What we have is that both processes evolved and as expected. And indeed, we have the preliminary approval by the Spanish Competition Authorities that enabled us to submit the final formal filing, and we are expecting that to be cleared between the end of this month and beginning of April. As for DHL, timing is again the same. We are fully in-line with all the submissions. And our expectation is that if it doesn't go for an enhanced investigation, clearance should arrive around September if it goes for enhanced investigation, then that comes by the end of the year. The inclusion of the Cacesa deal is something that was duly resolved, and it remains -- so expectation from both parties is that the deal in the end really would include DHL's involvement in Cacesa provider between goes along with the expectations. I will then ask Guy to address working capital.
Guy Pacheco : Thank you, Joao. Hello Joao. Working capital, in fact, it was very volatile. We need to take into consideration two dynamics going forward. First – the first quarter of our consolidated working capital is fully negative, and this has to be -- is linked especially with Dynamics in the banking to treat on credit and the way incentives are paid in the distribution network that are cash paid in the beginning of the year and then this is accrued throughout the year, and that's because it's a significant amount it trends typically negative the first quarter. And we have been growing in a lot in Express & Parcels that has a collection profile that is highly different from, for instance, financial services where you collect immediately. You actually withdraw your remuneration from the amounts that you place in the market. So in a way, our -- the our payment receiving terms are increasing because of this shift of profile. And as this seasonality negative on the first quarter, that is normally normalize throughout the year. What I'm trying to say with all of this that we should expect some investment in working capital given this underlying dynamic of shifting the profile of revenues to Express & Parcels and then becoming the most the most contributor to the overall revenues, but nothing dramatically. And hopefully, this year will be more predictable the working capital than we saw it. On financial services, maybe Joao Sousa can.
Joao Sousa : Yes. So thank you, Guy. Thank you very much, Joao, for your question. So what we saw right now the -- the digital app comes 5% of the value and almost 10% of the subscriptions because like I told you in the presentation, what we are feeling or felt in the app is we are bringing new guys or new segments, more young to the hub is in that way, we see 5% of the share in value and 10% in subscriptions. Saying this, we don't have already the open -- the customer cannot open the accounts in that. We felt that we are going to have that in the coming weeks, and we’re going to see an increasing of the – after we have also the service in.
Joao Safara : Thank you very much.
Operator: Okay. We will now take our next question from Joaquin Garcia-Quiros from JB Capital. Please go ahead, your microphone is enabled.
Joaquin Garcia-Quiros: Yes, hello. Thank you for taking my question. Just -- sorry to come back on working capital, just to see if I understood it correctly, we saw a very big reversal in the fourth quarter of the year, more than you previously guided before, I remember in the previous call, you guided to around negative EUR10 million for the year. You ended close to EUR30 million positive. So we shouldn't see any reversal during this year, right? This is just now normalized levels, and we see just a small working capital consumption in-line with what we were previously expecting due to the growth of the business, right? Just that. And then during -- on the Cacesa deal, you said everything was going in track. So my question here is regarding guidance. The more than EUR100 million at the recurring EBIT. I assume that's without Cacesa or DHL, is it safe to assume that without those deals, the guidance is more towards the low end of the range of the EUR100 million to EUR120 million and then more towards the mid to high end of the range once the -- we include Cacesa. Thank you.
Guy Pacheco : I will start with working capital. What I tried to explain was the dynamics. We are expecting some investments not a reversal, but some investment in working capital as we continue to grow with some meaning in the Express & Parcels division that is profile in terms of collections. In terms of guidance. I don't know, Joao Bento, if you want to --.
Joao Bento : Yes, I would confirm your assumption, Guy. In fact, we -- so how you are suggesting a guidance for the Cacesa contribution. But yes overall, that is a good assumption. Provided that we will have we'll have the deal approved according to our expectation.
Joaquin Garcia-Quiros : Perfect. Thank you.
Operator: Our next question from Filipe Leite from CaixaBank BPI. Please go ahead, your microphone is enabled.
Filipe Leite: Yeah, good morning. So I have three questions, if I may. First one, if you can confirm what will be the Mail price increase for this year and if it was already applied? The second one on CapEx. Just to confirm if you are reiterating your expectations in terms of CapEx for this year of between EUR40 million and EUR45 million? And last one, is related with profitability of Express & Parcels because you mentioned that you are expecting some margin expansion for this unit with expected volume increase. My question is if you detail from your current organic or EBIT guidance of more than EUR100 million, what is the level of EBIT margin that you are targeting or assuming in this guidance for E&P? Or perhaps if you can guide us at last year from this target from this guidance, what should be the contribution of financial services and what should be the contribution of logistics and the bank? Thank you.
Joao Bento : Thank you, Filipe. I can start with the Mail pricing. It's actually in the press release. But yes, they have already applied from the 1st of February, and they are overall of 6.9%. Then this is an overall regarding volume distribution expectation, then it's applied to our product list, meaning that some products have higher prices and others are lower. So that the expected combination provides to 6.9%. But yes, they have already applied from the 1st of February.
Guy Pacheco : Regarding CapEx, we will be -- our guidance is the [EUR40 million to EUR45 million] (ph) because we continue to grow a lot and we need to invest in capacity. It will be skewed to the high end because it's for good reasons, but with the growth on revenues that we saw about 40% in Express & Parcels last year. And obviously, with the underlying volume growth, we continue to invest in our network in capacity, namely on mechanization of centers, and that will continue throughout this year in order to be able to cope with volumes in the end of the year that we expect that high seasonality that we saw. In terms of guidance and margins, what I can share is the above EUR100 million organic, it's driven by Express & Parcels and Financial Services mainly. We continue to see the bank and the mail contributing also to growth but in a lower scale, if you want Express & Parcels, we stick to our guidance of high single-digit margins. It's what we saw. We expect that with the seasonality of the year to continue to expand, although there is some seasonality that you can observe on last year and obviously, excluding Cacesa because Cacesa has another kind of margins that will contribute positively to the overall business unit, but high-single digit. On Financial Services, we are not guiding for a specific target. What we can share is we are expecting placements to be on the EUR4.5 billion to EUR5 billion range. That is what we consider normality that we saw on the last quarter of last year, but that was not there for the beginning of 2024. And on the opposite side, it was exploding on 2023. So we see the business segment, resuming the kind of profile that we have in 2021. The bank will continue its parcels growth, although it is a year of investment in capacity and both in CapEx and OpEx to reinforce commercial capabilities that, in our view, will fund and next wave of growth throughout the next years. On Mail, we see some small upside and recovering some profitability with the declines between 6% and 8%, that we consider it's the normal rate of decline for this division coupled with the endless process that we have in that division of finding more efficiency and continuing with cost-cutting measures. All of that should contribute to the growth that we are guiding then you need to have your own assumptions on the closing of the deals that we see things aligned to the commitments we -- in terms of timing that we shared, but it is something obviously not in our full control.
Operator: [Operator Instructions] We'll take our next question from Antonio Seladas from AS Independent Research. Please go ahead, your microphone is enabled.
Antonio Seladas: Sorry. Sorry about this. Your performance on Express & Parcels has been very, very strong. So I don't know if you can share with us how you are performing? So I think you mainly explain that where we are outperforming. So in terms of market share, if you can provide some color on this. And I noticed that the blended price per item has been stable, which is interesting. So I guess that is mainly outside or e-commerce that is provide -- that is providing your growth. So I don't know what you can share about it with us to understand the reasons of your performance.
Joao Bento : So Antonio, thank you very much for your question. What we are seeing is the growth in Spain, like you talked like you say, but also in Portugal, because we -- like we have been saying in the last years, Iberia is one of the areas that e-commerce is growing more and fortunately, for us, when we are winning these customers, these big customers we are winning for Iberia, not just for Spain and for Portugal, what happen is Spain is bigger. So in that way, we see -- and our market share over there is not so big like we have in Portugal. We are not seeing this path of growth, but we are growing in both geographies for the pricing. Importantly, we are in a tough job, we are trying to maintain our pricing, but we also are doing value-added service. As you know, we have customers clearance in Spain for package that comes from out of Europe for Portland and Spain, and that may also help us to maintain our pricing. We see a positive outlook maintaining these customers growing in the same customers, but also grabbing new ones. And in a nutshell, I think that is the resume that we are seeing here in Express & Parcels.
Antonio Seladas: To provide to mention we are market share in Spain, for instance, I think in the past, we mentioned it, I guess, because the market is not growing so fast as you are growing. So I guess that we are taking market share. How is the competitive environment -- from where are you gaining market share? I don't know if you can provide more color on this, please?
Guy Pacheco : Let's see, as always, the numbers on these markets because it's mainly a B2B market, there is not a lot of data out there. But our estimates that in B2C, that is where we focus more. We are just under the 9% market share in Spain and above 45% in Portugal. For us, it's increasingly more difficult to follow the split of the market as our customers are moving more to Iberia. The big customers, even volumes delivered in Lisbon are given to us in Spain. That's why we stopped splitting the market because in the end, it's more a mathematical exercise and another thing. The competitive dynamic, obviously, we capture a trend that we use very well in terms of cross-border dynamics. It's a volume that we are very suited in terms of operations to serve more than our customers that are mainly focused on B2B. So multi-parcel heavy stuff network. But obviously, this kind of growth has some appetite, increased appetite from our competitors, although we didn't see any crazy movements, but we see some competition during this year in terms of pricing, we have been able to complement our unit prices with value-added services, namely in custom clearance. And as such, that's where we see Cacesa's acquisition playing a significant role in order to differentiate ourselves in terms of services, quality and also complementing our pricing scheme.
Joao Bento : The feeling we have and because of the feedback of the customer because after every peak season, we do feedback meetings with the customers is, know that our competitors try to grab this kind of traffic, but the customer is looking with us because of the quality, because of this go proposition for Iberia and also because of this value-added service. In fact, some of them already are challenging even for more volumes for the next peak season. So that's way -- in that way, we know that the competitor is going to try a big part of this traffic, but I think we are in a good role to maintain the customers and even with this profile driving the new ones that try to work in Iberia.
Antonio Seladas: You mentioned 9% in Spain, yes, is right?
Guy Pacheco : Yes, B2C market share per share. More than 45% in Portugal.
Antonio Seladas: Okay, thank you very much.
Operator: Thank you. And as there are no further questions at this time, I would like to hand the call back over to Mr. Joao Bento, CEO, for any addition of our closing remarks.
Joao Bento : Thank you. Well, I will just thank you again for coming to our results webcast. We remain available through our IR team to clarifications that you may need outcome as I started by stating that this was a great year very much in line with our equity so and our ambition to become market leaders for e-commerce logistics in Iberia. Thank you for coming. Good morning.